Operator: Hello and thank you for standing by and welcome to the Q4 and Year End 2021 American Assets Trust, Inc. Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, Adam Wyll, President and Chief Operating Officer. Please go ahead.
Adam Wyll: Thank you, operator. Good morning, everyone. Welcome to American Assets Trust Inc.’s fourth quarter and year end 2021 earnings call. Yesterday afternoon, our earnings release and supplemental information were furnished to the SEC on Form 8-K. Both are now available on the Investors section of our website, americanassetstrust.com. During this call, we will discuss non-GAAP financial measures, which are reconciled to our GAAP financial results in our earnings release and supplemental information. We will also be making forward-looking statements based on our current expectations, which statements are subject to risks and uncertainties discussed in our SEC filings. You are cautioned not to place undue reliance on these forward-looking statements as actual events could cause our results to differ materially from these forward-looking statements, including due to the impact of COVID-19. And with that, I will turn the call over to Ernest Rady, our Chairman and CEO, to begin the discussion of our fourth quarter and year end 2021 results. Ernest?
Ernest Rady: Thank you very much, Adam and good morning everyone. First and foremost, I would like to wish all of our stakeholders continued health and safety as we hopefully find 2022, ushering in a more manageable phase of this pandemic. As you all know, we remain very optimistic with the high quality irreplaceable properties and asset class diversity of our portfolio combined with the strength of our balance sheet, ample liquidity, top notch management team and that said with all due modesty and efficient operating platform will allow us to grow our earnings and net asset value for our shareholders on an accretive basis on a long-term basis. I recall at the outset of the pandemic, I thought we might be in for another great depression like the 1930s, but thanks to the incredible ingenuity and perseverance of Americans and modern science, particularly in regard to the push for effective vaccines and antiviral drugs. The U.S. economy only felt a limited recession. And meanwhile, capital markets rebounded quickly in most industries. However, our economy is less managing the unprecedented fiscal stimulus that no doubt has contributed. There was likely to be more than short-term inflation. Along those lines with the Consumer Price Index experienced its largest gain in 30 years, approximately 7%, we are confident in the thesis of our portfolio being an effective protection against inflation. Based on one, our ability to increase both base rents and annual rent escalators as lease expire within our portfolio to keep up with inflation, our visibility of significantly higher demand and limited supply in our markets for higher quality assets, like the ones we own, and third, the replacement cost of our properties continues to rise. This is particularly more compelling with high barrier to entry, modern amenitized property like ours that are in the path of growth, education and innovation. Therefore, we can likely withstand the impacts of long-term inflation, if not ultimately thrive. These are amongst the reasons why I personally have purchased our stock during prior open periods, as in my view here trading significantly below our net asset value and believe that the recent brokered transaction in our markets and asset classes support this view. With respect to our financial results, I was pleased to see our considerable rebound in 2021 as compared to 2020 and continue to be optimistic about our growth in 2022 and particularly the years thereafter. As such, I want to mention that the Board of Directors has approved a quarterly dividend of $0.32 a share for the fourth quarter, an increase of $0.02 or approximately 7% from our previous dividend, which we believe is supported by our financial results and the expression of our Board’s confidence in the embedded growth of our portfolio this year and beyond. The dividend will be paid on March 24 to shareholders of record, March 10. Finally, on the development front, both La Jolla Commons III and One Beach Street remain on time and on budget. And though we remain optimistic by the leasing process, we not have any specific views to share on that front at this time. Adam, Bob and Steve will go into more details on our various asset segments, financial results and guidance. And I will be available for any questions that you may have at the conclusion of our prepared remarks. Again, on behalf of all of us at American Assets Trust, we thank you for your confidence and allowing us to manage your company and for your continued support. I am now going to turn the call back over to Adam. Adam, please.
Adam Wyll: Thanks, Ernest. In 2021, our fiscal and operational results showed a meaningful rebound from 2020, which as Bob will describe in a few minutes, we expect to see continued growth in 2022 and beyond. Among a few of our accomplishments in 2021, we are closing our inaugural public bond offering of $500 million that was over 4x oversubscribed, acquiring two office projects in Bellevue, Washington for a total of approximately 440,000 square feet for a combined cost of approximately $210 million. Further establishing our critical mass and economies of scale within our Bellevue office portfolio, a market in which we believe the municipality has properly planned for growth with light rail alignment and other transit nodes and with a spectrum of housing options for workers intended to minimize commutes and to help create up and coming urban neighborhoods around downtown to capitalize on what we believe will be continued growth on the east side markets. We also leased approximately 255,000 square feet of office space and 410,000 square feet of retail space and increased our portfolio of multifamily leased occupancy from 86% to 96% year-over-year. We also maintained our investment grade credit rating from all three major U.S. credit rating agencies and we remain vigilant and focused on the safety and well-being of our stakeholders and achieved a 99% COVID-19 vaccination rate among all AAT employees. We also increased our collection percentage sequentially for the six consecutive quarters since the onset of the pandemic to over 98% in Q4, including collecting over 96% of deferred rent payments due in Q4. We also continued our ESG initiatives with a focus on the positive impact of being both a steward of the environment as well as fostering a culture of diversity inclusion has on the strength of our business and in partnership with our communities. Along those lines, we are pleased to have increased our GRESB score of 2021 for the third consecutive year in line with our peer average and above GRESB averages. We also increased our total dividends by 16% in 2021 over 2020 and we negotiated our amended and restated credit facility, which closed a few days into this year, which increased our borrowing capacity, extended the maturity dates of our revolver and term loan, and transitioned the borrowings to SOFR. And as Ernest mentioned, we furthered development activity at La Jolla Commons and One Beach on time and on budget despite the headline headwinds of supply chain shortages, vendor staffing challenges, and governmental delays. Meanwhile, on the external growth front, we continue to be active, yet disciplined, as we evaluate acquisition opportunities in our target markets and various asset classes as well as our ability to take advantage of low interest rates, while obviously keeping an eye on our cost of capital. And finally, I am more than pleased to announce that we promoted two key employees this month into Vice President positions. Abigail Rex, who is now our VP of Multifamily San Diego and Emily Mandic, who is our VP Regional Manager at Portland, Bellevue. And though their promotions were based on merit and their accomplishments with AAT, we are more than happy to further strengthen our commitment to diversity among our management team. With that, I will turn the call over to Bob to discuss financial results and guidance in more detail.
Bob Barton: Thanks, Adam and good morning, everyone. Last night, we reported fourth quarter 2021 FFO per share of $0.54 and fourth quarter of 2021 net income attributable to common shareholders per share of $0.14. Fourth quarter results are primarily comprised of the following. Actual FFO decreased in the fourth quarter by approximately 5.3% to $0.54 per FFO share compared to the third quarter of 2021 primarily from the following four items. First, as you may recall on our Q3 earnings call, our expectation for Q4 was for approximately $0.47 per FFO share. The assumption we made for Q4 was our best estimate at that time. But what increased the FFO from our Q4 guidance was the following four items. First, our Waikiki Beach Walk mixed use property contributed $0.04 per FFO share, half from Embassy Suites and half from Waikiki Beach Walk retail, which we did not anticipate in Q4 due to the lower than average tourism as a result of the Delta and Omicron variant. Second, our retail portfolio in San Diego performed a $0.01 of FFO better than expected. Third, our office portfolio performed $0.01 of FFO better than expected. And fourth, our multifamily performed $0.01 of FFO better than expected. Adding this $0.07 of FFO per share to our Q3 guidance of $0.47 for Q4 gets you back to where we ended at $0.54 per share of FFO for the fourth quarter. Same-store cash NOI overall was strong in 2021 ending at 20% growth year-over-year for the fourth quarter. It should also be noted that mixed use was added back to the same store pool in Q4. Absent the mixed use sector in Q4, same-store cash NOI would have been approximately 11.6% growth, which we are still very pleased with. As it relates to liquidity at the end of the fourth quarter, we had liquidity of approximately $539 million comprised of approximately $139 million in cash and cash equivalents and $400 million of availability on a revolving line of credit. Our leverage which we measure in terms of net debt to EBITDA was 6.8x. Our objective is to achieve and maintain a net debt to EBITDA of 5.5x or below. We do recognize that our net debt to EBITDA has increased during COVID as a result of lower EBITDA primarily from our retail portfolio and our mixed use property at Waikiki. We believe these reductions are temporary and our expectations, is that our EBITDA will increase over time to pre-COVID levels. Our retail centers on the Mainland are generally full, with increasing sales, but still have a way to go. As you may recall, we have historically provided a pro forma cash NOI bridge to help all stakeholders understand the embedded growth that we see in our portfolio as well as what we are anticipating in the next year or two. We expect to update our cash NOI bridge to reflect our expectations for 2023 in the next 60 days or sooner. Our current cash NOI bridge through 2022 reflects that cash NOI in 2021 has finally surpassed 2019 cash NOI and is expected to increase another 6% in 2022. This increase has largely resulted from the strong consistent growth from our office portfolio. This also shows the importance of a high-quality diversified real estate portfolio, such as American Assets Trust. I also need to point out that cash NOI is a non-GAAP supplemental earnings measure, which the company considers meaningful in measuring its operating performance. A reconciliation of cash NOI and net income is included in our supplemental which you can access on our website. Our interest coverage and fixed charge coverage ratio ended the quarter at 3.8x. Let’s talk about 2022 guidance. We are introducing our 2022 FFO per share guidance range of $2.09 to $2.17 per FFO share with a midpoint of $2.13 per FFO share, which is approximately a 6.5% increase over 2021 actual of $2 per FFO share. Let’s walk through the following nine items that make up the increase in our 2022 FFO guidance over 2021 FFO actual. First, same-store office cash NOI is expected to increase approximately 9% or $0.14 per FFO share. Second, same-store retail cash NOI is expected to decrease approximately 5% or $0.05 per FFO share. Third, same-store multifamily cash NOI is expected to increase approximately 5% or $0.02 per FFO share. Fourth, same-store mixed use cash NOI is expected to increase approximately 15% or $0.03 per FFO share and is attributable to approximately $0.01 of FFO to Waikiki Beach Walk retail and $0.02 of FFO to Embassy Suites Waikiki. All four sectors combined above are expected to generate a total same-store cash NOI growth year-over-year in ‘22 of approximately 5% or $0.14 of FFO per share. Fifth, non-same-store guidance includes our two acquisitions in Bellevue, Washington in 2021. Combined, they are expected to contribute approximately $0.07 of FFO per share in 2022. G&A is expected to increase approximately $3 million and decrease FFO by $0.04 per share. Interest expense is expected to be flat. Other expense is expected to decrease by approximately $4.4 million and increase FFO by approximately $0.06 per FFO per share year-over-year, resulting from a one-time early prepayment fee on the $150 million unsecured loan paid with a portion of the proceeds from our inaugural bond offering in January of 2021 and which will not occur in 2022. GAAP adjustments primarily relating to straight line rents will decrease FFO by approximately $7.5 million or $0.10 per FFO share. These adjustments when added together will be approximately $0.13 per FFO share and represent the increase in 2022 over 2021 FFO per share. While we believe the 2022 guidance is our best estimate as of this earnings call, we do believe that it is also possible that we could outperform the upper end of this guidance range in both the multifamily and in the mixed use sector of our portfolio. So, in order to do that, tourism and travel to Waikiki on the Hawaiian Island of Oahu needs to return in full force, including our guests from Japan. We are cautiously optimistic that the Embassy Suites Waikiki will outperform our guidance, but we won’t know that until most likely the end of Q3 2022. As always, our guidance, our NOI bridge in these prepared remarks exclude any impact from future acquisitions, dispositions, equity, issuances or repurchases for future debt refinancings or repayments other than what we have already discussed. We will continue our best to be as transparent as possible and share with you our analysis, interpretations of our quarterly numbers. I will now turn the call over to Steve Center, our Senior Vice President of Office properties for a brief update on our office segment. Steve?
Steve Center: Thanks Bob. At the end of the fourth quarter, net of One Beach, which remains under redevelopment, our office portfolio stood at 93% leased, with 8.5% expiring in 2022. Our office portfolio was gaining momentum. In the fourth quarter, we executed 18 leases totaling approximately 130,000 rentable square feet, including approximately 31,000 rentable square feet of comparable new leases, with increases over prior rent of 32% and 45% on a cash and straight line basis respectively. Approximately, 37,000 rentable square feet of comparable renewal leases with increases over prior rent of 6% and 10% on a cash and straight line basis respectively. Approximately, 62,000 rentable square feet of non-comparable new leases, including deals with a top 100 law firm for approximately 26,000 rentable square feet at Torrey Reserve and the global technology company for approximately 17,000 rentable square feet at La Jolla Commons I. Throughout our office portfolio, we have been employing multiple initiatives to drive occupancy and rent growth, including renovating buildings with significant vacancy and/or rollover adding or further enhancing amenities at the project level, aggregating and white-boxing larger blocks of space, where there is scarcity and improving our smaller spaces to be a new move-in ready condition. We realized meaningful increases in occupancy and rent growth resulting from these initiatives in 2021, with additional increases realized or in process in Q1 as follows. In Bellevue, we have signed approximately 18,000 rentable square feet of expansions, with another 12,000 rentable square feet of new leases and expansions and lease documentation. In San Diego, we have signed approximately 23,000 rentable square feet of new leases and expansions, with another 19,000 rentable square feet of new leases pending. Including this Q1 activity, we believe that our office portfolio is on track to absorb an additional 71,000 rentable square feet or nearly 2% of the office portfolio at favorable rent spreads. As a result, we believe that strategic investments in our portfolio will position us to continue to capture more than our fair share of net absorption at premium rents as office markets rebound. I will now turn the call back over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Haendel St. Juste with Mizuho. You may proceed with your question.
Haendel St. Juste: Hey, good morning out there. Just early good morning to you guys. Ernest, a question for you, you mentioned that you bought back some stock in the fourth quarter, I don’t think…
Ernest Rady: No. I can say I bought back the stock. The company didn’t buyback the stock. I bought the stock personally and affiliates.
Haendel St. Juste: Right, right. No, that’s what I am getting at. So, I guess you bought, but the company did not. And so clearly you see a value proposition here. Now, you talked about the stock being discounted. So, maybe you can help me better understand the decision to raise the dividend versus perhaps buying back the stock here in light of the discount you highlighted?
Ernest Rady: Haendel, this is something that is discussed in depth. Because as a – of our REIT size, we are on the smallest side relative to the absorption of the cost of being public. So there is no emphasis whatsoever on becoming smaller and reducing our capacity to make acquisitions and grow. That’s why I buy the shares personally, I would love to see a path or a strategy for American Assets Trust to have more assets on its balance sheet, more income from all these additional assets and spread the overhead of being public over these additional assets. That’s the logic.
Haendel St. Juste: No, I appreciate that, Ernest. And so I certainly appreciate the comments there. But then also on the leverage, Bob, maybe you help us understand you outlined getting to that mid-5 level, but I don’t think you outlined a timeline. So, any updated perspective there, is that something we can expect by next year in light of perhaps some of the delayed recovery in certain parts of the portfolio?
Bob Barton: Yes, Haendel, I can’t put a date on that. But it’s really the EBITDA that we – that has temporarily gone down is really a result of COVID. And so as soon as we can get Waikiki Beach Walk back with the Embassy Suites and have our Japanese guests return to the island, I think you are going to see a significant growth, I think you are going to see a significant growth this year as it is. And I think we have a good shot at outperforming if those things happen, which will increase our EBITDA and start working our net debt to EBITDA back down. But we also need to – I mean, I think this whole COVID environment, there is – has been a repricing on the retail side. But just like I mentioned on the script, the sales have been strong, sales continued to improve, but we got to see more on the retail side as well.
Haendel St. Juste: Fair enough. We get those comments. Maybe a comment on pricing power over on the portfolio, certainly a differentiator amongst the asset classes we look across REITs. Can you compare and contrast the pricing power across the key corridors of the portfolio, apartment, office, open air centers? And do you think that will be enough in the near-term to offset the rising costs the inflation that we are seeing? Thanks.
Ernest Rady: Somehow rather we have got a bad connection, Haendel. Is there something you could do maybe step back a little bit from the microphone and repeat the question, because it’s not coming through?
Haendel St. Juste: I apologize. Is that better?
Ernest Rady: That’s better. Thank you.
Haendel St. Juste: Okay.
Ernest Rady: Anything could be better.
Haendel St. Juste: Well, I was hoping for some comments on pricing power across the portfolio, certainly a key differentiator amongst the asset classes. I was hoping you could compare and contrast the pricing power across the key corridors of the portfolio, apartments, office, shopping centers, if you think that will be enough to offset the near-term rise in cost and inflation? Thanks.
Ernest Rady: Sure. That’s a very good question. It’s something that we can think about frequently. First of all, as Bob pointed out, retail is getting repriced to some extent. Our product – our retail will do as well as anybody, but retail by definition now is being affected. Our residential strong, I’m really optimistic that we are going to have a very good year in residential. And office, Steve went through the fact that and outlined the fact that our office properties in the past of growth were improving the amenitization, the word which he has taught me. And we are preparing offices so that when the smaller tenants want to occupy, they can occupy it more quickly. So, there is because of our offices in the past of growth, we are optimistic that it’s going to be a significant contributor to the growth of the company. And of course, La Jolla Commons is under construction and that could add significantly and we have the property in San Francisco, where we positioned. Portland just completed, but there is no lease on it yet. But you know what, it’s all good property. And if anybody can make it, our properties can do equally as well as the market and I am confident. If not, I am hopeful, if not confident that we will outperform the market.
Steve Center: Hey, Haendel. Let me just add to that too is that in the supplemental we talk about the leasing spreads on new leases. And if you look on a comparable basis, our cash basis percentage change over the prior rent on the leases we did, for retail, it was down 6% on a cash basis, but on a GAAP basis, it was 5.2% positive. So they had some free rent initially, but once it straight lined over the term, obviously, it’s a positive 5.2%. On the office sector it’s strong 17%, 18% in a cash increase, cash basis percentage change over the prior rent. And on a GAAP basis, it’s like 26%, 27%. So, I think we are in the right sectors. I think we got the right product. It’s just the retail is a little bit slower.
Ernest Rady: And Steve would agree we had the excellent management.
Haendel St. Juste: Wonderful. Alright guys. Thank you so much for the time.
Steve Center: Thank you.
Ernest Rady: Haendel, thanks for your continued interest. Hope to see you sometime soon.
Operator: Thank you. Our next question comes from Todd Thomas with KeyBanc. You may proceed with your question.
Ernest Rady: Hi, Todd.
Todd Thomas: Hi, good morning. Hi, how are you? So, couple of questions on some of the segments as it pertains to guidance. First, can you talk a little bit more about the mixed use segment, the guidance you discussed sounds like there is some uncertainty, but perhaps also some conservatism embedded in the forecast. And I was just wondering if you could maybe elaborate a little bit more around bookings and what the guidance translates into for RevPAR growth throughout the year in ‘22?
Ernest Rady: Todd, that’s probably the most difficult part of the whole portfolio to predict what’s going to happen, because we don’t know what’s going to happen with the virus. We don’t know whether the Japanese tourists will return. We don’t know what the Governor of Hawaii is going to do to encourage or discourage tourism. But the properties we own are in first class shape. They are the simple. And so it’s not a question of if they return, it’s a question of when they return and it’s the when that we find difficult to quantify. Do you want to add something, Bob?
Bob Barton: Yes. So, Todd thanks for the question. Yes. So as we mentioned our guidance for that same-store mixed use is 15% increase, which is $0.03 – approximately $0.03 of FFO per share. We rely heavily on our outrigger team that has the boots on the ground out there. We are in contact with our General Manager and our team out there. So, we know what’s going on. We know the data. In fact, we are visiting this coming March face to face with everybody. So that really is the upside. And like Ernest mentioned, the return of our Japanese guests is really important. But if that portion is delayed, we are seeing even strength on the U.S. west and U.S. east side. Let me give you a quick update on the Embassy Suites Hotel. And so, what’s interesting is that the paid occupancy for the month of December was 86%. What we have shown on a quarterly basis, it was 73% average for the fourth quarter, but it really was strong in December. Our paid ADR or average daily rate for the average quarter or for the fourth quarter average was $215, but in December, it spiked up to $350. That’s a strong month. And then RevPAR also increased similarly to that $315 as well versus to $215 on an average. And as of mid-January, Japan was experiencing its sixth wave of COVID, this time around largely from Omicron. And Japan is better prepared today with 30% more capacity in hospitals and a more flexible homecare recommendation for all, but the serious cases of infection. Vaccination data as of yesterday, when I just checked it was 80% of Japan’s total population was partially vaccinated and 79% was fully vaccinated with the second shot. And the Japanese government is speeding up its rollout of booster shots and shortening the interval between second and third shots. So, they have made positive strides in the vaccination rate since last July. And we are hopeful that they too will get through this as we have and we look forward to welcome them back. And that’s really the key to outperforming on this guidance.
Todd Thomas: Thanks. That’s helpful. I mean, the fourth quarter exceeded your expectations, you talked about half of that $0.04 Delta being, the hotel half being retail, it seems like occupancy and ADR outperformed despite sort of Delta, Omicron how are bookings trending through the spring and summer?
Bob Barton: Because of the Omicron, they are still slow. And we expect them to pickup for the March spring break. That’s always the popular destination. So, they are not like pre-COVID at this point in time, but we are seeing the growth, I don’t have the exact number in front of me.
Todd Thomas: Okay. And then shifting over to the retail segment and apologies if I missed this, but just trying to understand that down 5% same-store NOI growth forecast for ‘22 a little bit better. What’s the impact year-over-year from out of period collections that were recognized during ‘21? And do you have that number for the fourth quarter just trying to get sort of a better run-rate heading into the new year for that segment?
Bob Barton: Yes, I don’t have it for that segment. But I can tell you that our change in accounts receivables, which is where we book the collections from are down approximately $600,000 in the fourth quarter. We were about $1 million of collections in the third quarter from prior quarter collections. And in the fourth quarter that was down to like about $400,000 or less. So, it wasn’t that meaningful. And then going into 2022 in terms of our guidance, we have nothing in there for prior collections. I mean, every time we do a lease modification, we try to go back and get as much as we can at that point in time and then it’s generally in a deferral that we will build and collect in the current month.
Todd Thomas: Okay, that’s helpful. And then just last question on office sort of two things here, if we could – can we get an update at all around the leasing or pre-leasing for the tower at La Jolla? And then can you also provide an update in the office portfolio around the late ‘22 expirations that you have? I think VMware and Autodesk, if there is any updates there and any sort of activity that we should be thinking about late in the year or heading into ‘23?
Ernest Rady: I think Steve should handle that. He is intimately involved with it. Do you want to handle it, Steve?
Steve Center: Sure. You addressed Tower 3 we have got activity, but nothing to report at this point. But the market remains very strong. It’s tight for big lots of space. And there are a number of large users that are looking long-term at aggregating space. So we are still very bullish on Tower 3 and the eventual outcome there. With regard to the ‘22 rollover, we had come to terms with Autodesk on that second floor renewal. And we are papering that deal right now. And then we expect to get an RFP from VMware in the next week or two to engage in that discussion.
Ernest Rady: That market, where La Jolla Commons is, is very strong. We bid – it’s not an adjoining property, but a few 100 yards away and we got outbid by 25%. So – and we reached for it too, because it is – that is a great market. So, it’s a strong market. I don’t know what the outcome will be as far as leasing goes, but based on the activity in the area, the outcome ought to be positive.
Todd Thomas: Okay, alright. Thank you.
Ernest Rady: Thank you.
Steve Center: Thanks, Todd.
Operator: Thank you. Our next question comes from Craig Schmidt with Bank of America. Your may proceed with your question.
Craig Schmidt: Thank you. I have just if we could talk a little bit about the increase in tenant improvements and leasing commissions in office. I assume it’s related to the new level of the new leases, but as you can comment especially on trends for 2022 on those measures?
Steve Center: Yes. And I am just looking at the numbers overall and I am focused on comparable new leases in ‘21. If you at the outcome, we increased NOI on those deals by $9.12 or about 22% over the rents prior and in place. And if you just apply a five cap to that increase, it’s worth about $182 a foot. So in terms of investment, for example, on the renovations we did at Torrey Reserve in both Torrey Plaza and North Court One, I think we spent about $15 a foot on those renovations and achieved outsized increases in NOI as well as leased them quickly. The big block initiative has paid off as evidenced in Q4 by the top 100 law firm lease that we did in 26,000 feet at North Court One. So, our average – our weighted average TIs on new leases last year was $50 a foot. You are touching spaces that in some respects the lighting package hasn’t changed in 20 years. So you are going from parabolic lights to new – a new lighting package LED and so that’s a $10 a foot swing right there. You are also seeing less full drop ceiling and more a combination of cloud ceiling and open ceiling, which requires rigid duct distribution of air and that’s another $10 a foot to a TI package. So we are seeing higher end TIs. And we are also seeing really big co-investment on part of the tenants. So, while our TI contribution is up, our tenants in some respects are putting 2x into the space and even more in certain cases. So yes, the investment is bigger, but the increase in NOI that we are achieving and the quicker lease-up we are achieving way more than compensate for the additional costs.
Craig Schmidt: How would you describe the markets that our offices are in relative to what you read about in the newspaper at office?
Steve Center: I would talk about our assets within those markets. And I touched on renewing Autodesk and it’s a great customer of ours and it’s a great building and we achieved what I’ll call a win-win outcome in a market that’s choppy. But when you have exceptional assets in markets even if it’s choppy around you, the outcomes are good, because people just want to be there. So, that applies to Bellevue, that applies to San Francisco and even our holdings in Portland, especially in Lloyd, we are full essentially in Lloyd. So we have done very well there. And then San Diego, it’s really fun right now, because we have made these investments I mentioned, Torrey Reserve and we are seeing the results right now. It’s a lot of fun. So we are – we have unique properties. We are in good markets, even in the markets that are a bit choppy right now, Portland and San Francisco where we are performing really well. I’ll say their management teams take really good care of our customers and that’s a huge part of success, especially in renewing tenants, but even on the new leasing front, our managers are very customer service oriented and engaging and they do a terrific job.
Bob Barton: Hey, Craig. Let me add to what Steve is saying is that I think the first part of your question was about the operating CapEx, which drove down our funds available for distribution this quarter. And really what that relates to is a one-time TI reimbursement for our largest tenant at Landmark. And that’s what drove that down. That’s been out there for some time and we finally got the invoice. So, we are pleased to have that.
Adam Wyll: And just as a matter of information, that tenant spent, I think another $100 million of their own money for the property. So yes, we are investing wisely. And I know you are very familiar with all the other markets we are in. But San Diego is on fire. I have been around here for a lot of years. And I have never seen the San Diego economy as strong as it is today. Biotech lab space, it’s amazing. I mean we are in the right place at the right time.
Craig Schmidt: Thank you for that. And then just one small follow-up, the lower occupancy at Del Monte Center, is that due to the previous vacant 2021, or is that smaller specialty business is driving to the ADG 0.1% occupancy?
Ernest Rady: There is two vacancies there. One, as Macy’s abandoned the furniture store, and the other is Forever 21. And we are doing our best to replace those tenants. But of all the properties we have whereas problem with Del Monte as any other, but it does not have enough population around it to really make it into what we would like it to be. But it’s all it can be. But it - what it can – all it can be is limited by the fact that the population is not as dense as it should be in that area.
Craig Schmidt: Great, I think I mean, I guess that’s a better position to be in the NAV, the specialty gets so hard. Thank you for that update.
Ernest Rady: Thank you, Craig. Hope to see you soon.
Operator: Thank you. Our next question comes from Richard Hill with Morgan Stanley. You may proceed with your question.
Unidentified Analyst: Hey, guys. It’s Adam on – hey, it’s Adam on for Rich. Hope you guys are all well. And thanks for taking the question and appreciate the bridge earlier to kind of the guidance, really, really helpful. Once to ask about kind of the mixed use asset, it’s kind of in terms of kind of recovery to pre-COVID NOI, I think your other property types, they didn’t recover in ‘21, should kind of recover to 2019 levels and exceed those results. I am just kind of wondering what you kind of think about recovery to pre-COVID NOI in mixed use whether that’s a ‘23, ‘24 events and just kind of how you think about that?
Ernest Rady: From what I read, the American tourist is anxious to travel. And right now, we just don’t know when. But I think when this thing opens up, people are anxious to get out and have vacation and I suspect maybe I hope for unprecedented demand for our Hawaiian properties. Just people are anxious to travel, sick and tired of staying home. So, we don’t know when, I mean we don’t know what extent. And I would like to tell you that we do because we don’t, you probably know as well as you read the newspapers as well as we do.
Adam Wyll: We are hopeful to see a significant outperformance beginning in the third quarter. But again, that’s, let’s get rid of this COVID.
Ernest Rady: So, it’s not anything you can predict, we don’t think you can hope for. And it’s something that we honestly expect that we don’t know the time.
Unidentified Analyst: Okay, that’s all really helpful. Thank you. And I just want to ask about kind of acquisitions recognized kind of made two larger deals last year? I guess kind of what’s the appetite today for future acquisitions, further acquisitions, kind of given the debt levels, but also kind of given that EBITDA is obviously recovering, right? So, your net debt to EBITDA will just look better organically and kind of recover organically. So kind of, what asset types are you focused on for acquisitions here and kind of what are you thinking there in terms of valuation and further acquisitions?
Ernest Rady: You couldn’t have asked a question, which is more contentious, or more internally debated than the question you just asked. I think that money costs today are a modest compared to inflation. If you can borrow money at 3% or 4%, and inflation is 7%. The economy is paying you to take the money. If you can buy a property which will return more than the cost of the money, there is accretion. There is a great internal debate about net debt to EBITDA. And we have been examining those numbers very thoroughly. So, if we found something that would – and the prices are not compelling, the prices are really high. So, you have to find something that is below replacement cost that you can add to and increase the value. And that’s we have been successful with doing. And so we continue to explore all the possibilities, including the retention of our net debt to EBITDA, including the enhancements to the shareholder value, because of inflation, including the fact that all of our properties replacement cost is increasing dramatically. Jerry estimates that if we were to have to buyout La Jolla Commons today versus when we bought it at the bottom, bought the contracts out at the bottom of the coronavirus. Go ahead.
Adam Wyll: That would have been upwards of 30% more.
Ernest Rady: And that’s on what size of the contract?
Adam Wyll: On $100 million.
Ernest Rady: $100 million, so that’s $30 million. This is happening across our portfolio. It doesn’t happen if the demand isn’t there to compensate for the cost. But this is happening across our portfolio. And that’s why I am so optimistic about the quality and the position of the American Assets Trust portfolio. It’s not only a great inflation hedge, I think its performance over the mid-term will outpace inflation.
Unidentified Analyst: Got it. And just kind of in terms of a property – by property type. I mean is there more of an appetite for office rather than multifamily? If you could kind of get the kind of power rank the different property types, what would kind of be, be first that you would buy it?
Ernest Rady: I hate to tell you this. But our appetite is governed by greed. If we find there is an opportunity in office, which we have in Bellevue, because we are very optimistic about that market. We did it if we could find apartments, which are now trading in the mid-3% cap, where we could improve them and improve the returns. We do that, if we could find retail, that there was upside, we do that. So, we have the advantage of looking at three product types in several markets. And we are going to do what we think enhances the underlying value of our stockholders – for our stockholders as best we can. So obviously, the emphasis has been in office, because we found a couple of office products. But at the same time, we are investing in our residential dramatically improving the properties we have. At the same time, we are looking at every opportunity we can for retail. So, we have got our weather eye peeled to find something that will add to the value of our shares. And at isn’t easy, the thing that’s easy is to see that money costs are least or moderate in relation to inflation. But then you have to find a product that is not overpriced. And so that’s accretive.
Unidentified Analyst: Got it. Thanks for the time, really appreciate it.
Ernest Rady: Thank you for your interest.
Operator: [Operator Instructions] Our next question comes from Tamara Fique with Wells Fargo. You may proceed with your question.
Tamara Fique: Thank you very much. Wondering, I guess a couple of questions. Given the increased leasing activity that you saw in the fourth quarter, it drove your sign, but not opened rents to get more than double what was reported in our third quarter, can you just talk about how much of that…?
Adam Wyll: Tammy, somehow something wrong with our speaker system here, if you kind of step back from your microphone, we might be able to hear you better, please.
Tamara Fique: Okay, is this better?
Ernest Rady: Is that better?
Adam Wyll: We hope so.
Tamara Fique: Okay, given.
Adam Wyll: Let us speak to you in person, Tammy, I can tell you that.
Tamara Fique: Good enough. Given the increased leasing activity in the fourth quarter that drove your signed but not open rents to more than double what you reported in the third quarter, I guess, can you just talk about how much of that you expect to come online in 2022. And then, secondly, related, are you generally delivering spaces to tenants on time given the supply and labor constraints in the market today?
Adam Wyll: Do you want to handle that Steve?
Steve Center: I will let Jerry, you should.
Jerry Gammieri: We are doing it well in terms of timing, because we are integrated from having in-house legal to having a really talented construction team. So, we got in front of it. We don’t work – we work parallel paths while we are going through a transaction. So, as a result, we have the lease execution, we typically have an approved plan that we can readily go into CDs, and we do everything we can to expedite the process, because our tenants have time constraints, and we take those on as our own. So, we perform well. That being said, there are delays in permitting. There are delays in certain materials. We tend to have an urgency to get in. And we will have that move in. And if you have a long lead time on certain millwork, they will move in and start operating. And then we will do the millwork after they moved in. So, you make those kinds of moves to meet their needs to operate, and give them the space that they want. So, we are adapting, but we do it really well.
Adam Wyll: It’s difficult, but we do as well as anybody. I think that would be the way to phrase it.
Jerry Gammieri: I agree.
Ernest Rady: No, it is not. If the supply chain is strained and there are labor constraints, but one of the points that we made and Steve has really brought to us is we instituted this program with specs leads. So, I would like to call those ready rooms. And then as we found tenants to lease some of those spaces that might have been adding one office or taking out one office, so we were able to adapt pretty quickly. And we had some inventory. So, we have – timing has been good for us.
Adam Wyll: I think we have a great team that’s doing a great job. But it isn’t easy.
Tamara Fique: Okay, appreciate that. And then maybe following up on your discussion around your appetite to be a larger company, what do you see as the best pathway to getting to the level that you feel you are maximizing your G&A cost? Is it just slow and steady or is there a bigger transaction that you see you can do to get there quicker, just wondering if you can give us your perspective on that, and what’s kind of governing that?
Adam Wyll: If our stock was fairly priced, that wouldn’t be a path to be larger. But at the price of our stock today, that’s not a path. If another path would be to find somebody who would like to throw their lot in with ours, that ain’t easy either. So, I would say the ultimate outcome is slow, but steady wins the race. And that’s what we are working on, bit by bit, piece by piece you can see that when we issued that $500 million of bonds, we were a year early. But now interest rates are moving up. But that fixed rate has a lot – fixed rate on that bonds for 10 years has allowed us some flexibility. We recently extended a bank loan and locked in the rate. So, it’s slow, but steady wins the rate. We start – when we started this company, it was a public entity, about $1.7 billion in assets. Now, I estimate our underlying value is about $5 billion to $6 billion. So, and we didn’t do anything dramatic. If we had our nose down on our ass up, and just look in the deal. And somehow we find the ways to enhance shareholder value. The inconsistency is that the stock market doesn’t seem to recognize that. So, the way I put it, I can buy real estate cheaper on Wall Street than I can on Main Street, where we can buy. When the reverse is true, we will be able to take advantage of that opportunity, hopefully, for the benefit of all our stockholders, so stick with us.
Tamara Fique: Okay. And then maybe just a follow-up on that an earlier comment on the broker transactions, you said, supportive, that you are trading at a discount to NAV. I am just wondering if the team can provide some more specific data points to help give us a sense for cap rates in your markets for your different asset types?
Adam Wyll: That’s a really good question. You are asking, is there a guidance available for NAV loss. You are not coming through clearly. That’s why I am translating it.
Ernest Rady: Thank you.
Adam Wyll: Are you planning on guidance for the NAV, I can tell you that by [indiscernible] I feel we have got A and then I extrapolate that to what we own and I said oh my god, what a disconnect? Now, Bob, you have anything that is concrete.
Bob Barton: Yes. We haven’t published that for the last 2 years during COVID. But the intent would be is to issue an NAV, because we are a diversified. We try to help people understand how we are thinking, but it’s something to Board approval. And we need to look at it and discuss it. But we are – we feel good about where the NAV is last time we looked at it. And we look forward to going through that process. It would probably be at the beginning of the third quarter.
Adam Wyll: If our apartments are selling at 3.5% cap, what our apartments worth, if office where we are improving them, and rents are going up dramatically. And we are having to find particular properties where we can improve them, what our office properties were, some of which are stellar. Our retail, even retail is trading at cap rates, that don’t seem to discount what’s affecting retail. So, I would love to buy some more retail, but there is no bargains out there. So, you look around and say, this is what the market tells you. And then we look what we have and there is this giant disconnect.
Tamara Fique: Okay. It makes sense. I look forward to the updated NAV. And then just one last question, if I could, I know your cash on the balance sheet about $140 million today? Is that your mark at this point for development spending in ‘22? Bob, maybe just if you could give us some color on the sources and uses of capital underlying your 2022 guidance?
Bob Barton: Yes. So, we have about $140 million of cash in the bank today. We got $400 million line of credits, does not even been touched. So yes, I mean in theory, that cash would be used for finishing La Jolla Commons, finishing our renovation on One Beach. So, One Beach is expected to be finished in the third quarter of ‘22. And we expect to have revenue coming in by July, by the third quarter sometime in ‘23. And we are hoping – and again, that’s subject to leasing. But we feel good about that renovation. And then La Jolla Commons III, we are hopeful to have that completed by the end of the second quarter in ‘23, with revenue coming in at the beginning of ‘24. Again, that’s based on what we know in the marketplace, nothing has been committed or signed at this point in time. But we don’t think that is unrealistic. But we will see.
Ernest Rady: If you want somebody to manage your cash, you couldn’t find anybody better than Bob Barton. He is very brutal in his analysis of how every penny is spent and we do our best to spend it wisely.
Tamara Fique: Okay, great. Thank you so much for your time.
Ernest Rady: Thank you.
Adam Wyll: Thank you, Tammy.
Operator: Thank you. And I am not showing any further questions at this time. I would now like to turn the call back over to Ernest Rady for any further remarks.
Ernest Rady: Okay, stay well, you guys. Don’t get any viruses. Wear a mask. And we hope to see you soon and give you all a hug. And we get through this nonsense that we have been to for the last 2 years. But I have always said the portfolio will come through better off and then we will began and I think that’s still how I feel. Thank you all.
Operator: Thank you. This concludes today’s conference call. Thank you for participating. You may now disconnect.